Operator: Good afternoon, ladies and gentlemen and thank you for standing by. Welcome to the Deckers Outdoor Corporation first quarter fiscal 2009 earnings conference call. At this time all participants are in a listen-only mode. Following the presentation we will conduct a question-and-answer session. (Operator Instructions) I would like to remind everyone of this call is being recorded. Before we begin, I would also like to remind everyone of the company’s Safe Harbor language. Please note that some of the information provided in this call will be forward-looking statements within the meaning of the securities laws. These statements concern Deckers plans, expectations and objectives for future operations. The company cautions you that a number of risks and uncertainties, some of which maybe beyond its control, could cause Deckers actual results to differ materially from those described on this call. Deckers has explained some of these risks and uncertainties in its earnings press release and in our SEC filings, including the Risk Factors section of its annual report on Form 10-K and its other documentations filed with the SEC. Among these risks is the fact that the company’s sales are highly sensitive to consumer preference, to general economic conditions, to the weather and to the choice of its customers to carry and promote its products. Deckers intends that all of its forward-looking statements and this call will be protected by the Safe Harbor provisions of the Securities Exchange Act of 1934, as amended and the Securities Act of 1933 as amended. Deckers is not obligated to update its forward-looking statements to reflect the impact of future events. I would now like to turn the conference over to President, Chairman and Chief Executive Officer, Angel Martinez. Please go ahead, sir.
Angel Martinez: Well, thank you and thank you to everyone, joining us today. With me on the call is Zohar Ziv, our Chief Operating Officer. Zohar is also functioning as the company’s Principal Financial and Accounting Officer until a new Chief Financial Officer is appointed and he will walk you through the numbers in more detail shortly. We are very pleased to have begun the new fiscal year with strong results. While there are a lot of indications that 2009 is going to be a challenging year for the world economy, we delivered another very strong performance that once again I’ll place expectation. For the first quarter, sales were $134.2 million, an increase of approximately 38% of our last year’s first quarter and above our guidance for sales growth of approximately 22%. First quarter diluted earnings per share were $0.93 versus $0.86 a year ago, which was also well ahead of our guidance. Our teams did a great job of managing inventories at a level required to meet our sales levels and finally, we ended the first quarter with $230 million in cash, cash equivalent and short term investments, an increase of $47 million over the same period last year. Now, I’ll walk you through our results. The UGG brand’s positive momentum from the holidays clearly continued into the first quarter. As sales increased more than 60% for the second consecutive quarter and I believe that’s worth noting that on a trailing 12-month basis, UGG brand net sales have now surpassed $600 million. Since the first launch of spring line in 2005, we have significantly broadened the product offering to include a variety of boots, sandals, casuals and slippers for both men and women. As a result of very strong sell through the past four years, we entered 2009 with more shelf space at retail for our spring collections than ever before. This is fueling increased awareness of our last spring line, which in turn is helping further establish our UGG brand as a true year on brand. It is also attracting new consumers and creating repeat purchases from consumers who are only familiar with the UGG brand of the cold weather product. Our strong Q1 performance was driven by demand for the entire line highlighted by the classic and hardy boots in spring color, the low pro button boot and our line of comfort sandals to name just a few. Our growing number of concept stores is also creating a meaningful impact on the UGG brand’s evolution and equally important on our P&L. We added five new stores since last spring, San Francisco, New York, Beijing and two in London and with same-store sales growth of 29.3%, our retail sales increased 162% to almost $14 million in the first quarter. As we outlined in our year end call in February, our plans are to open two additional domestic locations and five overseas locations in 2009. In addition to the great selection of product, the UGG brand’s identity as a premium lifestyle brand is now consistently built and reinforced by an excellent advertising campaign, featured in major publications such as Vogue, Vanity Fair, Glamour, In Style and Teen Vogue and on bill boards in high traffic areas of key cities like New York, London, Los Angeles, San Francisco and Chicago. We also are opening 30 to 40 shop-in-shops in the U.S. in 2009 as well as 50 shop-in-shops overseas compared to 40 in the US and 29 overseas last year. We’ve now completed our pre-book profile and despite the challenging market, the majority of our accounts have planned their business up versus the second half of 2008. When combined with the fact that we had no meaningful order cancellations in the first quarter, it really speaks to the current strength of the brand and underscores its importance to our retail partners. First quarter sales of the Teva brand were lighter than expected. Many retailers are now choosing to take deliveries of spring product closer to season. We hope to make up for the shift with more at one shot during the first three months of the year. However, that business didn’t materialize to the levels we projected and as a result of several factors, mainly the challenging retail environment and its impact on over the buy dollars as well as colder wet weather in many parts of the country. At the same time, Teva product sales were negatively impacted by the bankruptcies of three meaningful accounts, GI Joe, BoatersWorld and Sportsman’s Warehouse during the first quarter. Despite of all the challenges, our team did a better job of managing inventories, which were down nearly 18% versus the same time a year ago and we head into summer with very clean fresh products in both our wholesale channels and our distribution centers At the start of April, we’ve seen some encouraging sell through that on several men’s and women’s key styles and we would expect this trend to continue as temperatures begin to warm. The feedback on the expanded product line is in positive and retailers continue to tell us that Teva has definitely remerged as one of the few core footwear brands in the outdoor space. Therefore, we remain cautiously optimistic about our prospects in the second quarter, but we’ll continue to operate conservatively with regard to expenses and inventory until our visibility improves. Simple brands business was not immune to the poor economic climate that we are operating in during the first quarter. In the U.S., we experienced the higher level of cancellations in normal, which obviously impacted our performance we believe this was in line with industry average. We also had to content with lower than expected international sales in Japan and Europe. All of this contributed to 13% decline in sales for the quarter compared with a year ago, partially offset by double digit increase in internet sales. It was obviously a more challenging quarter for Simple than we expect. That said, we feel confident that the brands position as the leader and sustainable footwear is strong and growing and at the product line led by ecoSNEAKS continues to resonate with consumers and its gaining traction of key accounts even during these challenging times. Earlier this month, we began shipping key products from the new spring 2009 collection to 200 Journey stores and our margin locations. This coincided with the debut of our new advertising campaign from JWT, “Less is Greater than More”, which we launched with national and local print, internet and grow the marketing efforts. There is a lot, we’ve seen strong weekly sell through rates on several styles, including the women’s that are ecoSNEAK and the men’s TSUBO ecoSNEAK, which are the featured advertising styles for the spring 2009 season. However, as a result of the poor retail environment, we decided to defer some of the incremental marketing spend that was previously planned for the remainder of the year. As we look ahead, we remained focused on maintaining our sustainable leadership position by continually innovating the product line. We will also continue to expand our distribution by partnering with retailers that are committed to growing the brands for the lone term. Now with regard to the TSUBO brand, the team has been working hard to build distribution for the fall relaunch of the brand. We’ve secured select stores of Macy’s and Dillard’s and we continue to have encouraging conversions with both regional and independent retailers across the country. So, we remain optimistic about the long term potential of this business. However, since pre-books of the TSUBO brand have been harder to combine, we’ll be pulling back on some of the additional marketing investments for this year and we’ll reduce the original plan of an incremental $10 million spend for TSUBO and Simple by about half. As we discussed on the last call, in March we acquired the outdoor brand Ahnu. We’re very pleased with the management team that joined us and believe that overtime there is an opportunity to leverage our position in the outdoor industry to expand Ahnu brand and grow our share of the outdoor lifestyle market, especially in women’s. Before I turn the call over to Zohar to review the financials, I wanted to point out for those who might have missed it that Deckers was named to Outside magazine’s list of the Best Places to Work for the second consecutive year. Everyone here takes a tremendous pride in this special recognition and we believe it speaks of the great culture and environment we’ve all helped to create at DECK. Zohar.
Zohar Ziv: Thanks, Angel. For the first quarter of 2009, net sales increased 37.6% to a $134.2 million versus $97.5 million for the first quarter of last year. Including sales from the wholesale division as well as the Consumer Direct business, our net sales of UGG products increased 66.9% to $91.4 million versus $54.8 million for the first quarter, last year. Net sales of Teva products decreased 5.7% to $35.6 million in the first quarter compared to $37.7 million in the same period of 2008. In the Simple brand net sales decreased 13.1% to $4.4 million for the quarter versus $5.1 million in the same period last year. Combined net sales of the company’s other brands, TSUBO and Ahnu which we did not earn during the first quarter of 2008 were $2.9 million for the first quarter of 2009. Included in these numbers, our e-commerce sales for all brands of $16.2 million up 3.5% from $15.6 million in the first quarter of 2008, and retail sales of $13.9 million, up a 161.9% from $5.3 million in the prior year period. Also included in the brands sales numbers, international sales for all brands increased 71% to a $32.2 million, compared to $18.8 million in the first quarter of last year. In domestic sales increased 29.6% to a $102 million, compared to $78.7 million in 2008. Our gross margin for the current quarter was 43.9%, compared to 47.3% in the first quarter of last year. The year-over-year decline in gross margin was primarily due to our wholesale business growing at a higher rate than our e-commerce business for the first quarter of 2009, as well as higher levels of closeout sales then in the first quarter of 2008. First quarter 2008 margins were also positively impacted by reduction in the estimate for sales returns. Total SG&A expense for the quarter was $39.6 million or 29.5% net sales, compared to $21.1 million or 29.8% of net sales a year ago. The plant increase in SG&A in absolute dollars resulted primarily from an increase in payrolls, marketing and other selling expenses including $2 million of additional marketing investment for Simple and TSUBO and six new retail stores that were not opened in the first quarter last year. Interest income was approximately $0.6 million in the first quarter, compared to last year’s first quarter interest income of $1.4 million. This great decrease was the result of our decision to shift the greater percentage of our cash, cash equivalents and short term investments for safer and more liquid and lower yielding government securities, as well as lower market interest rates versus the same period a year ago. Net income for the first quarter was $12.3 million or $0.93 per diluted share, compared to $11.3 million or $0.86 diluted share in the first quarter of last year. Turning to the balance sheet, at March 31, 2009 our overall inventories increased 34.3% to $66.4 million versus $49.4 million a year ago. By a brand our, UGG inventory increased 61.3% to $43.4 million. Teva inventory decreased 17.8% to $15.1 million and Simple inventory increased 18.3% to $5 million. The increase in UGG inventory was due to the increase in spring and fall orders currently on our books and the growth of our retail inventory due to the increase of our stores from last year. The increase on following carryover, which we discussed last quarter, was sold in Q1 and we continue to manage our inventory to meet our sales and continue to feel very comfortable with our inventory levels. In addition, at March 31, 2009 we had cash, cash equivalents and short term investments totaling $230 million, compared to $183.4 million at March 31, 2008 and accounts receivables were $56.3 million, compared to $40.7 million at March 31, 2008. With regard to our outlook, based on the UGG brand better than expected first quarter results and the partial benefit of the reduction of the incremental marketing spend, we are slightly adjusting our 2009 guidance. However, we are only flowing through a small portion over the earnings upside from the first quarter to our full year earnings outlook, primarily due to lower sales projections for the Teva, Simple and TSUBO brands as a result over the challenging retail environment and the shifting of approximately $2 million in expenses, mainly marketing into the second quarter from the first quarter. We now expect full year revenues to increase by approximately 7% to 9% over 2008 levels versus our previous guidance of approximately 6% to 9% growth. For the full year, we now expect UGG brand sales to increase approximately 8% to 10%, up from our previous expectation of approximately 6% to 8% growth. For the Teva brand, we now expect sales to be down approximately 4% to 7%, compared to our previous expectation of down approximately 2% to 5%. For the Simple brand, we now expect sales to increase approximately 5% to 10%, down from our previous expectation of approximately 20% to 25% and for the TSUBO brand, we now expect sales to be approximately $5 million to $7 million, down from $7 million to $9 million, which we will expect Ahnu brand sales to be between $4 million to $6 million. For the full year, we now expect diluted earnings per share to be flat to slightly up over the non-GAAP diluted earnings per share of $7.27 we reported in 2008, which exclude the non-cash write-down of intangible assets as discussed in our previous earnings release. This compares to our previous guidance for 2009 diluted earnings per share to be flat to down slightly. Our forecast is based on a full year gross profit margin of approximately 45% in 2009 versus 44.3% in 2008 and SG&A as a percentage of sales of approximately 25%. As Angel discussed earlier, we’ve decided to defer approximately half of the original $10 million of incremental marketing expenditure, we’ve planned for Simple and TSUBO in 2009, which will be partly offset by a lower than expected interest income due to the recent decline in market interest rate as previously discussed. We still anticipate the Ahnu brand to have a negative impact of approximately $0.06 to $0.08 per diluted share for the full year of 2009. For the second quarter, we currently expect revenues to increase approximately 10% over 2008 level and we expect to report a diluted loss per share between $0.10 to $0.15. Our forecast is based on a gross profit margin of approximately the same as last year and it is important to note that international sales have historically made up a greater percentage of total sales during the second quarter, compared to our other three quarters as we typically shape a significant amount of all products to our distributors in June. There are also international distributor carry a lower gross margin than domestic sales. In addition we shifted approximately $2 million in expenses, mainly marketing into the second quarter from the first quarter and therefore we expect SG&A as a percentage of sales during the second quarter to be approximately 43% versus 31.2% 31.2% in 2008. As a reminder a significant amount of our operating expenses are fixed and spread evenly on an absolute dollar basis throughout each quarter. Therefore this has the greatest impact in our earnings, in our lowest volume sales quarter, which has historically been Q2. I’ll now turn the call back to Angel for some closing remarks. Angel.
Angel Martinez: Well, thanks Zohar. I’m very proud of everything that we’ve been to accomplish over the last several years and even more so, with our ability to keep the momentum going in the midst of this recession. We recently held our global management meeting where we brought together our senior management team, brand mangers and division heads from around the world. It was incredibly, highly productive few days, full of energy and focus and excitement about what lies ahead. It’s been a great deal of time fine tuning our short and long term goals for each brand and for each division and what was abundantly clear is that we have some of the most talented people in the industry. It gives me great confidence that we’ll continue to be successful at gaining market share and expanding our international presence and that increasing profitability and shareholder value well into the future. Operator, we’ll now be ready to open the call up for questions.
Operator: (Operator Instruction) Your first question comes from Jeff Klinefelter - Piper Jaffray.
Jeff Klinefelter - Piper Jaffray: The first question is really on, if you could help Angel in framing this for us on the UGG brand and the composition of the UGG brand. I think there is still a concern that it’s largely skewed toward the boot styles and the classic boot styles in particular. Could you share with us some rough idea or percentages of the classic boot or the total boot style versus the overall UGG revenue on a run rate basis this year versus last year or may be two years ago?
Angel Martinez: We haven’t broken out percentage Jeff, but if you look at the line and visit one of our key retailers like a Nordstrom for example. You’ll see some things there that a couple of years ago you might have been surprised to see UGG name on those kind of products. The wedges that we’re doing, the sandals, the Cardy boot which was as I remind you not in the line two years ago. That is a product built on the classic platform, but I wouldn’t call that a classic product, it’s not the sheepskin upper. So across the board, consumers have been responding to the comfort platform that the brand now represents and we’ve always said that this is a brand really driven by comfort more than any other attribute. It happens to be that originally sheepskin was the way we delivered comfort, but we’re now diversifying the product in such a way that comfort is being delivered with varying degrees of using sheepskin in some of our products that are selling through quite well. We have no sheepskin on the product at all. It’s just up against other similar products; the consumer finds our brand to be more comfortable and the style is also very appropriate to the season and we really have done a good job with coloration and fabrication. So, all footwear brands are managed from or should be managed from a broad perspective, really understanding what drives the core attributes of the brand and then being able to innovate around those things. I think we’ve done a great job of that and the consumer is validating that obviously.
Jeff Klinefelter – Piper Jaffray : So as a rough proxy, I think people should be able to look at your core distribution and looking at the assortment and get a sense for the composition of your revenue?
Angel Martinez: Absolutely and I think that as we move closer to the fall season, you’ll see the line to shift and more impact and more importance will be on the more traditional styles, but even there we’ve diversified significantly and that started a few years ago with much a policy and collection, it continues to evolve with a variety of different styles around the seem of a sheep skin, operate boot and shoes, certainly you look at the men’s product, the cold weather product that we’ve shown and sold in very well for this next fall. It’s not the UGG you thought it would have been a few years ago, and that’s what exciting about it.
Jeff Klinefelter – Piper Jaffray: My other question is really on the other brands and the strategy to market them but now with less dollars, but also this idea that it was actually a very good time and still basically a time to launch new brands and go after shelf space that’s being dislocated in the industry, it seems given the challenges you’re having with the Simple’s thus so far this year and reading your release about the bankruptcies in the independent retail community and then also your decision to cut marketing back has something changed in last few months with respect to your view of the viability in the market place of launching new brands?
Angel Martinez: Well, I think really what we have done is just gotten really down to the grass roots if you will. The retailer has demonstrated there very, very Radisson to invest in the unknown versus the known. So, you see in our case UGG is winning and the other brands are sort of in the mix with rest of the shoe industry, retailers are very, very cautious about they open to buy obviously credit difficult and those dollars need to produce. So, they want to bank on things that they know they are going to get turn and margin on. The other thing that’s important is that there that the battle is being fought at the point of sale, so media isn’t as relevant as we thought it would be, so when you see adjustments being made on TSUBO and Simple we really dialing back the media stand, you won’t see the prevalence in the print publications that we had anticipated doing, but we are still going to drive the presentation at point of sale, with VSM which is what we call vendor support money we are doing more clinics, we just recently did a series of clinics and product events that Nordstrom around Earth Day that were very successful, very solid sell through on Simple’s product. So, it’s a slugfest out there, it is not easy, the other thing that’s we are very excited about two of those as I mentioned on my comments the introduction of the new styles it was Simple just began to ship in the month of April, we are getting great traction on those and naturally the product line that we have been anticipating and looking forward to at ecoSNEAKS, I’m getting good response on that. TSUBO we have to wait until fall that’s a fall product that we decided to drive in the market and it’s becoming pretty obvious that a retailer doesn’t have the stomach for huge commitments of new inventory and they really want to see how stuffs going to sell through before they lined up behind us. We have to prove ourselves in the market.
Jeff Klinefelter – Piper Jaffray: Just one clarification on your fall carryover product that you said you sold that out at Q1 this year, I thought you were holding that over for fall of ’09?
Angel Martinez: Well, we were holding it over, but since we had orders we sold it, most of those things were the slippers and the classic boots and that was sold in Q1.
Jeff Klinefelter – Piper Jaffray: Okay. So, that materialized with since your last time you communicated with us and you are completely clean on your carryover product?
Angel Martinez: Well, the increase, we did not quantify at last time, the increase over the carryover from year-over-year in last quarter was only $6 million, so commented that’s increased during that quarter.
Jeff Klinefelter – Piper Jaffray: Okay. Alright thank you.
Operator: Your next question comes from Chris Svezia with Susquehanna Financial Group.
Chris Svezia – Susquehanna Financial Group: Good afternoon everyone and congratulations on a nice job in terms of execution. I just wanted maybe if you can just talk about the backlog for one second and you pre-books if you could, can you just maybe add some color, we’ll add some when you are coming into the fiscal year, your backlogs were up 41% and I’m just kind of curious if maybe just talk little bit more about how your pre-books look at this point in time relative to that increase would assume it probably won’t be up that much just giving kind of a backdrop into what is happening with the other brands. Maybe just talk a bit more about what happening on the pre-book and how that looks.
Zohar Ziv: Well, we have not disclosed the pre-book at this time but we as Angel said, basically the full orders are all pre-booked by now. So, we have a very good and strong visibility after the remainder of the year.
Chris Svezia – Susquehanna Financial Group: Okay.
Zohar Ziv: But Chris, if you are asking last time we told those 40% up it’s not to that level.
Chris Svezia – Susquehanna Financial Group: Right, that’s fair. I mean in it what point in time, I mean retailers what are they telling you at this point about how they are looking at fall are they, I mean it seems like sort of sentiments incrementally improving in the footwear business and I’m kind of curious is this sentiment sort of improved in terms of the commitment to take on into pre-book a lot more products or they still incrementally looking to more of an at one sort of business is still holding off in other words, the sentiment really start to improve at all?
Zohar Ziv: Just my recent travels, yes, I’ve seen a modest improvement in sentiment and attitude in our expectation, I think that the first quarter of the year wasn’t the bloodbath that some people thought it was going to be weathering the storm. That said, as I mentioned earlier they want to put the dollars into proven brands and proven product and also they really not that interested in experimenting with a lot of on tested files etc. So as a result, we do have people booking UGG stronger than in the past year and full expectation is that they will continue to sell that products through and sell it through at the same level they have been. The consumer out there still seems to have, as we’ve continue to experience a love affair with the brand and the diversification of style and color and materials creates excitement at retail, combined with our retail present, which allow us to showcase all the new thing. One thing that great retailers have not forgot that they have to be in the business of exciting consumers at retail. So as cautious as you want to be, you still got to get that consumer motivator and have to command and look at new things and buy new things. They are just being cautious at which new things they put out there and which brand they put it out therefore. We are in a very amiable position with UGG brand and that’s allowing us to have some great benefit. I think, hopefully we’ll be able to drive consumers into the store and help retailers achieve their goals with UGG and obviously the consumer will buy other products too and that’s the goal. So there is an excitement about that with this brand.
Chris Svezia - Susquehanna Financial Group: Angel, how is the distribution in terms of the key retail partners has that changed any degree or as they continued to be the same retail customer as you basically looked at in fall 2008, in terms of tracking the business. Is there been any notable change in all terms of U.S. wholesale distribution?
Angel Martinez: No, that hasn’t been, it’s still pretty much of same core group we have, were appropriate added doors, is so the request have been made that more doors, we have also they mentioned that we’re expanding our shop-and-shop and our overall presentation. I think what’s happening with the brand as which gaining market share inside the retail environment and I think we not of the breath of product to leverage that gain in market share across the twelve month basis.
Chris Svezia - Susquehanna Financial Group: Okay. That’s helpful and Zohar maybe if you just help for one second here, on your second quarter outlook and in terms of the top line growth, can you maybe just add a little bit color how we should look to some varying degree the different aspects of the business. Given how strong UGG was during the first quarter and just based on the inventory piece, but then again higher guiding for the year. I just want to get some idea about how we should be looking at second quarter or in terms of maybe the UGG growth, can you add a little bit of color about that, if you could?
Zohar Ziv: Well, we can talk about in the context of the year since we indicated that the Teva is going to be down. You’ll probably see the increase for the quarter mainly coming from the UGG brand. You will see Teva is probably going to be slightly down from last year and the biggest of the carriers is going to come from UGG.
Chris Svezia - Susquehanna Financial Group: Okay and my last question, Angel, just on the e-commerce business, I guess, surprising to see it only up 3%. I think you referenced the Simple business was actually up in terms of e-commerce, may be you just add some color as to what was going on e-commerce side of the business, just given how strong some other elements of the business, obviously it seems like UGG is big Ts, I’m just curious what was going on there?
Zohar Ziv: While, I think a new path, we were developing our distribution model for the first half of the year particularly Q1. We were building distribution with Spring product, and a lot of consumers just didn’t have access to it. So, they went as a default site to find product to our site. Now, that we’ve done on a better job of executing against distribution and our sell in has been very solid against Spring. It’s clear that because retail consumers are finding products available at retail, because if you notice our retail stores at a significant up tick in the first quarter. So it’s just a matter of the spring line is now more available than it was before, it was readily available on our website in the last couple of years and retail consumers went there to find it, now they are finding it in the other stores. So, we’re not that surprised about that, the other thing to notice that we are e-commerce approach is not anywhere near to aggressive as it would be, let’s say for as apples.com, we don’t do the free shipping and all that stuff. So, I think that again the consumer is going to slide towards the retail availability if they can find a product without paying the shipping, they will but it where they find it.
Operator: Your next question comes from Jeff Mintz - Wedbush Morgan Securities.
Jeff Mintz - Wedbush Morgan Securities: Just a couple of additional questions here, Angel, are you starting to use your retail stores to kind of test styles and then share the data you get from that with some of your retail partners and if so, what’s being the reaction to that from the those partners?
Angel Martinez: We have been doing that all along and it’s not so much a style as it is the color. So, we have a really good idea of what kind of performance we are going to get from the free line, how people react to it then we also know from the response that we’ve had an in our own stores to certain color ways or ideas of our own product like the Cardy for example and what it does, it allows us to really refine the approach by the time we do go to wholesale with an assortment its being well called I mean it has been pardon what we feel are the strongest potential products. As I have had several retailers tell me when they look at the fall 09 of UGG line, its hard to decide what not to buy and because we look at the line the same way they do, we look at it as a buyer would and we tried to keep the line as tight as we possibly can and try to have the line yield the best return, so if nothing else with the retail stores are doing it is allowing us to think just like a retailer because we are a retailer in that sense and that’s giving us inside that we might not otherwise have an combination of style, its color, it’s a size of a line and numbers of skews a lot more skew discipline goes into the discussion when you know that you only x amount of space in the store to display product.
Jeff Mintz - Wedbush Morgan Securities: Okay great, that’s helpful and turning to the question, add spend you talked about differing the other $5 million is that kind of deferral with the specific date in 2010 or is it more deferred until things improve and you think it would be useful to spent?
Angel Martinez: Yes, we think it will deferred until we see signs from retailers that they are back in the mood to begin driving things into the market, there is just a lot of very gun-shy people out there right now. So, I just don’t feel it’s wise to spend the money if you are not going to get the return in terms of booking. So, we are going to hold on keep our powder dry.
Jeff Mintz - Wedbush Morgan Securities: Okay and then on the international business, was there any kind of big shift in terms of were the international business has been done by country and compared to previous quarters or is it so pretty much dominated by the U.K.?
Angel Martinez: Pretty much dominated by the U.K. that’s still a significant growth market for us. We expect in the future that will have other markets evolved into very important position. As I had mentioned in the past Germany was just getting started, Scandinavia is fairly undeveloped we have had some excellent continued growth in Benelux this first quarter. I think one of the things that’s happening in Europe particularly as the availability of a new colors of spring product have given more expansion to the demand for classic type of products on fourth quarter well into the first quarter and consumers are now seeing new colors, they didn’t anticipate and some new excitement there. So, retailers outside the U.S. are starting to build a Q1 business that they didn’t know they had just like we are going to do that a couple of years ago.
Jeff Mintz - Wedbush Morgan Securities: Finally, Zohar, can you remind us, did any Ahnu sales province into the first quarter or did that deal essential get closed after all the sales were done for the first quarter?
Zohar Ziv: The deal was closed in the first week, I believe from March. So, we had a very, very small amount of sales for one month for Ahnu.
Operator: Your next question comes from Todd Slater - Lazard Capital Markets.
Todd Slater - Lazard Capital Markets: Inventory growth showed significant deceleration from fourth quarter to one quarter, so congratulations. Can you talk about, how you’re managing the inventory going forward and if we should continue to expect this increase to decelerate maybe not the same rate, but nicely over the next couple of few quarters?
Angel Martinez: You have probably said the deceleration Todd, the biggest piece of the increase of the inventory this quarter was really had to do with the full items that we had to bring. It has to do mainly with factory capacity and our distribution center capacity to process a good. So, what you have seen as I said an increase in the full product that came at this year vis-à-vis last year. So you will see, as we have said the decrease in the inventory growth rate in the next few quarters.
Todd Slater - Lazard Capital Markets: How about, if you can give us a sense of the ability to lower cost of goods over the second half given some deflation, raw material costs and other areas and have you assumed any of these types of cost reductions in your model?
Angel Martinez: Not significant cost reduction or saving reduction from the cost of the goods. Our cost is being negotiated season in advance, when we agree with the factor is to the cost of the products. So, those costs have been established prior to the decrease of cost that took place in China, which you will see is factoring into our guidance and into our margin will get some benefit on the freight side because of the lower oil prices, you’ll see freight coming down, so that will impact positively our margins, but the benefits that we will see there will more, from the cost reduction you’ll start seeing them more coming next year.
Todd Slater - Lazard Capital Markets LLC: I don’t know if I heard correctly, but you said, you sold your excess product will carry over in the first quarter?
Angel Martinez: The increase of there from year-over-year was sold, yes.
Todd Slater - Lazard Capital Markets LLC: The increase was sold and did that affect your gross margins for UGG, how did the gross margins come out for the UGG product in the first quarter?
Angel Martinez: Not on those items, those items, we sold at full price.
Todd Slater - Lazard Capital Markets LLC: How about the overall gross margin versus your expectation in the first quarter?
Angel Martinez: Well, the overall UGG margin depends, if you’re talking about the total margin, we’re slightly down because of the reduction of the e-commerce business, but on the wholesale base…
Todd Slater - Lazard Capital Markets LLC: Then how about the international mix, did that hurt the gross margins as well or not?
Angel Martinez: It hurts us some, yes. The international was growing, it’s hurting in some.
Todd Slater - Lazard Capital Markets LLC: Is that the sort of the same kind of picture you envisioned for the second quarter as well or is there, how do you see the gross margins in the second quarter come up?
Angel Martinez: Well, as we said it’s going to be approximately the same as last year, which was around 39% and the main driver there was the largest proportion of international business vis-à-vis the quarter, which is our smallest quarter.
Todd Slater - Lazard Capital Markets LLC: Then internationally, should we expect any of the structure to change in 2009, in terms of distributor/canceled?
Angel Martinez: Well, we’ve talked about the change in Japan on the last call. So you’ll see that this year, but if you are referring to the European one, you’re not going to see any changes this year on the distributor front.
Todd Slater - Lazard Capital Markets LLC: So 2010 and beyond?
Angel Martinez: About, yes.
Todd Slater - Lazard Capital Markets LLC: Just I was hoping you can give a little more color in the follow up to Jeff’s question on sort of the non-plastic styles, in terms of how they’re selling, either relative to your ownership or your expectation, the rain boots, the fluffy, I think which had a sizable price increase. I know it’s early in some markets, but there are others where you’ve had warm weather and in the wedges and then things like the North Pole and so on. What have you seen on those styles, sell-throughs relative to how you own them?
Angel Martinez: Well, we’ve seen, the Cardy continues to sell across all parts of the country. Excellent sell through on that, depending on whether the rain boots performed well, there was not a huge item in our expectations. It was an important item for us to do and we’re going to carry that through, but that performed to expectation. We’re getting excellent sales from wedges and sandals especially where the weather is turned and those have been a little bit surprising, I’m very happy with the performance of those. The colors have been well received and retailer is pretty happy with what’s happening there. So it’s a kind of varies by region and where we are in the transition the summer, but across the board good sell throughs. I can’t think of any thing that I would call a disappointment form our perspective. So I think we’re looking pretty good on that front.
Operator: Your next question comes from Mitch Kummetz - Robert W. Baird
Mitch Kummetz - Robert W. Baird : Yes, thanks. I got a few questions. Let me start with your Q2 guidance. I heard you saying 10% sales growth; you had 38% in the first quarter. What’s going on there, is that a function of a tough comparison and maybe some holiday momentum carrying into the first half of Q1 which really drove a big increase there or is there any shift in business happening across those two quarters that would cause the sales to decelerate to that degree going from Q1 to Q2?
Angel Martinez: No, I would say it’s a reflection of the current retail environment as I indicated. We are probably looking at Teva to be slightly down over last year and Simple is probably going to be flat, and UGG is going to be increasing year-over-year.
Mitch Kummetz - Robert W. Baird: I think that gives a lead to my next my question, because your guidance on UGG for the year now is 8% to 10% growth. Given what you achieved in the first quarter and probably a double digit increase in the second quarter basically what you are saying there, I mean that would imply something 2% to 4% or 1% to 3% over the back half and how you made the comment that majority of retailers took their fall orders up. Is there something there that I’m not thinking about or you guys just being really conservative in terms of your assumptions on cancellations or reorders or what you might be doing with your retail stores or e-commerce business to get to not much growth in the back half, I know you given the order book that you have in hand right now?
Angel Martinez: Mitch, your math is correct, and we’re being conservative. Looking in this environment and in this economy you have to be prudent and to estimate the higher percentage of cancellation than in the past. So until we get closer to Q3 and see how things are selling in Q4, we got to take that approach.
Mitch Kummetz - Robert W. Baird: And then the Tom’s comment on the inventory, obviously you managed it down well in the quarter; you got over some carryover inventory, but UGG inventory is still up 61% and that’s in relative to kind of the UGG outlook that’s implied by your full year guidance in your Q1 results. I assume that’s an inventory level that you’re comfortable with; those are inventory that you have orders for so there is any thing you can comment on that?
Angel Martinez: Yes, we are very comfortable with our inventory level. If you look at specifically at UGG, as I said the biggest increase about two third of the increase is really relate to fall of products. That we have to start to bring as I said earlier, because our factory capacity is, they cannot produce all the goods that we need for the time that we need. So, we need to sell to bring it earlier. So, it’s all clean inventory, we don’t have hardly any reserve against it and we are very, very comfortable with our position.
Mitch Kummetz - Robert W. Baird: Retailers also wanting their fall deliveries earlier or did you get a sense of that yet?
Angel Martinez: I wouldn’t say so, probably the similar as the last year.
Mitch Kummetz - Robert W. Baird: And then last question on the marketing, I just want to make sure I understand this. So, previously you’d said about $10 million incremental increase in simple and TSUBO such going from 10 to 5 and I’ve thought before that you were expecting that to sit pretty evenly across the quarters, about 2.5 of the each quarter. Did some of that incremental spending happened in the first quarter or do you already recognize that you are going to differ it early on. Should we be thinking that, it’s about $5 million of incremental spending over the balance of the year now, Q2, Q3, Q4.
Angel Martinez: Let me talk to the numbers and Zohar will comment about the marketing program. As we indicated in the script, about $2 million of debt marketing spend occurred in Q1 and you will probably have a similar amount also in Q2.
Zohar Ziv: Really, as I said the trust of it in the first half because keep in mind that TSUBO isn’t scheduled until Q3 and Q4 when the brand would relaunch with the fall line. So, the bulk of this really going to be what we call VSM Vendor Support Money, money that we reduced to impact sell in of the product. In other words, you give me an order I will give you marketing support based on the side of your order. We’ll also give enhanced retail presence and do a whole variety of things. If I don’t get the order book, then obviously I don’t spend as much money on that and if I don’t get the order book I’m looking for, I’m going to pull back on the media spend because it would frustrate consumers to see the beautiful adds in national magazine and then not find the product where they expect to find it. So, we are being practical and really making sure that we have enough money in the mix to support those retailers who support the brands.
Mitch Kummetz - Robert W. Baird: And the media spend was then expect to be more concentrated in the back half?
Zohar Ziv: Yes. More in the back half.
Mitch Kummetz - Robert W. Baird: Ok. So you spend about $2 million of that in the first quarter, you expect to spend about $2 million more in the second quarter and then another $1 million over the balance of the year and then in Q2 you get the hit because you also had a shift of other marketing dollars by about $2 million falling from Q1 to Q2. So really in Q4 you are looking at about $4 million more in marketing expense that a year ago. Is that kind of help how I should be thinking about that?
Zohar Ziv: No. You are talking about this in Q2. It was not two plus 2, a part of the shift was included within the two, but you’ll see about a $3 million increase in marketing in Q2.
Operator: Your next question is from Jim Duffy - Thomas Weisel Partners.
Jim Duffy - Thomas Weisel Partners: Thanks for taking my questions. Many have been asked already. I just want to make sure I understand the nature of the current activity that you spoke to in Q1. What type of product was it, was it inline product which would have carried forward through into the fall season. Over the channels that you use for clearance and what extent that it’ll have an impact on the gross margins in the first quarter.
Angel Martinez: Jim those were not closed out items. As we said those were slippers and classics that we’re selling it for retail existing distribution channels. So there hasn’t been any impact on our margins. Sorry are you talking UGG or you’re talking --.
Jim Duffy - Thomas Weisel Partners: I’m talking about the clearance in general. I thought in the press release you characterized gross margins there has been some pressure from clearance activity.
Angel Martinez: It’s just like in close out process.
Jim Duffy - Thomas Weisel Partners: Yes
Angel Martinez: We are going through a normal close out process related to all the brands and mainly Teva and Simple and some in TSUBO.
Jim Duffy - Thomas Weisel Partners: Okay so was a lot of Teva product. What where the channels that you use to close that out?
Angel Martinez: We don’t disclose that, but is traditional normal channels our existing retailers all of them on occasion throughout the year want close our product to enhance their margins and drive traffic and then we have a variety of traditional closeout vendors that retailers that we use. Our product does not end up in, that I recall the bargain-basement kind of closeout channels.
Jim Duffy - Thomas Weisel Partners: And then kind of a very general question for you, in you’re discussion with retailers do you get the sense they are getting to the point where they have got enough handle on the business if they can start to plan on a go forward basis or is there still so much uncertainties that there is a hesitant to do so?
Angel Martinez: Well you know, I’m getting the sense that people are now over the initial shock of what happened and those folks who have quality operations with premium brands or quality brands, they are heavily into planning mode. I think most of their bad news they have dwelt, they’ve adjusted open the bios accordingly and they managed their expectations. We are getting people who are I think doing a wonderful job of planning for the near term by adjusting their mix and their assortment very expertly, which is all key to this thing. We really drop to watch our assortments, we have to watch all the powerful stuff if that get you in trouble, your average margin has been in a very strong. So it’s creating more dependence on the proven kind of products and more struggle for the unproven and that just seem, when you think about that pretty logically.
Jim Duffy - Thomas Weisel Partners: That makes a lot of sense. Now as you look to your fall order book, have you seen any change in the cadence or timing of shipments for fall orders?
Angel Martinez: No, we are consistent with where we were last year and last year we did notice that people wanted their fall a little earlier. We are not seeing the demand for any earlier than we did last fall.
Jim Duffy - Thomas Weisel Partners: Okay, and you mentioned your reluctance of retailers to commit up front in general, does that change your strategy for safety stock or inventory to fall orders at all?
Angel Martinez: Well, it does if you look at Simple and TSUBO and Teva. UGG finds itself in totally different situation, we are unique in the marketplace and we are in an enviable position to be in. So we sort of see it from all sides given all of our brands.
Operator: Your next question comes from Sam Pose - Sterne Agee Group.
Samuel Poser - Sterne Agee Group: Good afternoon. Just a clarification, you said the SG&A for the full year was going to be what so ever?
Angel Martinez: Around 25% approximately.
Samuel Poser - Sterne Agee Group: In the retail stores, what is the timing and locations? Can you talk to some of that for the retail store openings this year?
Angel Martinez: Yes. In the Japan store, we are looking at Q2 and three stores in the UK that’s probably towards the end of the Q3 and we are looking for additional stores also in China, and in the United States also we’re looking for Q3 for opening of two stores, one concept and one outlet.
Samuel Poser - Sterne Agee Group: On a whole, you guys have done a great job over the years of keeping the supply considerably under the demand, and you have a good deal of your business in California. Given the tremendous weakness in California and given some of the uncertainties out there, how are you going to ensure that you continue to keep the supply into the demand to keep the brand hard in that manner or given just this particular environment that we are seeing these days?
Angel Martinez: I don’t think we’re going to be changing our distributions strategy. We have always felt that we have the appropriate level of distribution in California given the balance we look to in our distribution mix. So some people would argue that we are extremely restrictive in California. We’ve had retailers in California who have been doing business with us for a long time, who want to open another location in a new mall, lets say and we denied that, because we’ve already got the distribution we need in that mall. So we do a big business in California. I wouldn’t say that our California market is saturated, I think we’ve always been very considerate and very cautious about the amount of distribution that we have in any given region of California and we’ve approach the Northeast in the same way where we’ve I think had a great amount of success in the last few years and there is lot of opportunities to sell our product there. We don’t necessarily take advantage of it, because we feel it’s pushing the distribution to too much availability in any given mall. Why have six retailers in a mall all fighting over selling the same product, it make no sense.
Samuel Poser - Sterne Agee Group: I really want speaking about the existing distribution on how not expanding it, but just given the existing distribution and some in the fall off of demand in general in market such as California.
Angel Martinez: In our business for that we haven’t seen a fall off of demand time. I mean in our business remain pretty strong. I mean the first quarter results speak to that. We really have not seen the customer suddenly decide in California that last year they bought three pair of UGG and this year they are only going to buy one or two. She still wants a three pair of UGG and may be now, it’s four pair of UGG because now she wants the sandals or she wants the Cardy so we really have not seen that. it does not manifest itself. Now I understand California is going through a tough environment, tough problem there is no doubt that, we are realistic about that, we are understand as far as our retailers go through and we know retailers relay on our brands to help them through this and our brand is performing for that.
Samuel Poser - Sterne Agee Group: I guess the question I have is how do you make sure you don’t meet the demand this year?
Angel Martinez: We are just going to keep doing what we’ve been doing, we are going to evaluate every single situation, every order based on what we feels is appropriate for the market and we don’t let some, like my mother used to say “eat more with your eyes than your mouths”. We don’t let some one pile so much product on their orders that they are going to struggle.
Operator: Your next question comes from Howard Tubin - RBC Capital Markets.
Howard Tubin - RBC Capital Markets: Hi, thanks guys. Just in terms of pricing this fall its pretty ugly verses last fall. Is it pretty consistent?
Angel Martinez: Yes, it is Howard.
Howard Tubin - RBC Capital Markets: Then just a question on the cash balance and keeps piling up understand the environment, but any consideration given to me in buying some stock back at these levels?
Angel Martinez: We’ve looked into it and we feel that that’s not something we should be doing at this time, we think we have bad opportunity to invest in our business to keep growing it.
Operator: Your next question comes form Omar Saad - Credit Suisse.
Omar Saad - Credit Suisse: Thank you for taking my question. Great job this quarter. Just really one question that I wanted to ask you guys about the most of that’s been asked. Could you help me understand the kid business a little better, how that’s been doing, how big is that as a percentage of mix; I know my daughter is starting to ask me about the product to buy for her. I just want to get a better sense for you guys, how you feel about that business, what the kind of out look is for my kid I guess I mean under 12, 12 and under that sort of age.
Angel Martinez: What we feel it’s a good business for us, we feel it’s a business we should be in to an appropriate level; we feel it’s a business that it’s important to have, the quality distribution. We don’t want to compromise the quality of the product in order to just meet the lower price points, which happen often in kids. People who make something that looks like an UGG boot using artificial materials just to get the price point where they needed it still has the look, we don’t do that. So our product from a production cost perspective is not that much less for us to make kid’s shoes than it is our adult shoes. Obviously, there is a small amount of sheep skin use, but we don’t compromise the sheep skin, we don’t compromise on the other material. So as you go forward, we’re not looking to have the kids business grow out of proportion to our adult business. We will always stay to what we feels is an appropriate level and based on the demand that we have in our adult product.
Omar Saad - Credit Suisse: Got it, got it and can you help me understand what the relative size, I imagine it’s much, much smaller than the rest of business. Is that a fair assumption?
Angel Martinez: Yes, that’s a fair assumption. We haven’t disclosed what percentage our kids business is, it’ll always remain a much smaller piece and it will be very limited in terms of SKU assortment and in distribution. I think you’ll see our kid’s product will be, I’m not going to say it’s difficult to find, but we really think that the retailers who support the brand in total and have an opportunity to sell kids and do it well, they should sell our kids product, but we’re not going to sell it everywhere just because some one sold fair amount of UGG product and maybe they don’t sell too much other kids products and they want to sell just that much more UGG. That doesn’t make any sense for us, there are kid’s specialists out there that are important, there retails out there do a great job with kids that are important and we’ll focus on them.
Operator: Your final question comes from Elizabeth Montgomery - Longbow Research.
Elizabeth Montgomery - Longbow Research: Hi, guys. Congratulations on a good quarter. I guess I have two questions. The first one just to go back to the Q2 guidance for a second, I mean if I look back over the past couple of years, normally SG&A doesn’t have nearly a significant to build on. I know you said there was $3 million in incremental marketing in Q2, but SG&A would still be up far more year-over-year in Q2 than it would be in Q1 and I wondered if is there something else maybe related to the store in Japan or something is or so differencing the SG&A of Q2.
Angel Martinez: Yes, there is a combination of things as I indicated, really one of the biggest piece in the growth year-over-year are the retail stores. We have six stores in this year they did not exist in Q2 of last year. So, that’s a big contributor. We talked about the marketing, in order to that you have the rights unknown, we are going to have it for the full quarter the expenses that they were not in last year. We’ve also have grown our international business which is a combination slightly in Japan, but in the U.K. and the other piece where you have the incremental growth is also in the warehouse. The Pig module went into a production in the end of the second quarter of last year. So, the depreciation for that and the incremental cost of that will be also in Q2. So, those account the big pieces that causes the increase and does the normally increase of our payroll and cost of living.
Elizabeth Montgomery - Longbow Research: So, that’s the Pig module is [inaudible] in Q3?
Angel Martinez: Yes.
Elizabeth Montgomery - Longbow Research: Okay.
Angel Martinez: It’s already in Q3 and it came into production, the later part of Q2 of last year so it was in full Q3 and Q4 of last year.
Elizabeth Montgomery - Longbow Research: Okay and then not to be too picky, but I wondered what’s the incremental marketing going from 10 to 5 that’s a $0.23 benefit and I know you said less interest income, but could you quantify how much that would be.
Angel Martinez: Well, let me kind of walk you through a little bit because I’m sure there is going to a question. So, let’s discuss it right now, with this Q1 by about $0.30 against our guidance. We differed about $2 million so that’s another to Q2. So, that’s a reduction of $0.10. So, we are up by $0.20 from Q1, the deferral in the marketing is about a share is about 23, so roughly we have $0.43 better. However we are reducing Teva and Simple and TSUBO and our interest income is going to be lower by a couple of millions. So that those are the protection taken by the half of the additions that we are getting the benefit from Q1 in the lower marketing and that’s caused us to a slightly adjust our guidance from flat to slightly down to flat to slightly up.
Elizabeth Montgomery - Longbow Research: My last one, I guess not to hop on the pitches third question that Chris had about the backlog, you said it’s no longer 40 is that because just you are closer to adding in Q1 or to guess, just a little bit of a clarification on that.
Angel Martinez: Well, I think it’s no longer afforded because the orders since fall is basically done, the booking, so it’s higher than last year, but its not the same percentage otherwise the year according as I said enough with the Teva numbers being down and this simple is not to growing as we expected before. It’s still up and healthy, but not to do magnitude as it was the year end.
Elizabeth Montgomery - Longbow Research: Okay, well let me ask this way, that UGG backlog has not changed at all since year end, has that gotten incrementally better or worse?
Angel Martinez: Well the absolute dollar, it went up significantly.
Operator: Thank you. Gentlemen, at this time I’ll turn conference back over to you for any closing remarks.
Angel Martinez: Well thank you, thanks to all of you for listening in this afternoon. Once again we are very happy with the progress we have made this quarter and continued to look forward to the growth of our brands across the world and with your support we are look forward to seeing you the trail out there. So appreciate it thanks very much.
Operator: Thank you, sir. Ladies and gentleman this concludes the Deckers Outdoor Corporation first quarter fiscal 2009 earnings conference call. Thank you very much for your participation. You may now disconnect.